Operator: Good afternoon. Welcome to Scientific Games First Quarter 2020 Results Conference Call. [Operator Instructions]. Please note, this event is being recorded. I would now like to turn the conference over to Trent Kruse. Please go ahead.
Trent Kruse: Thank you, Operator, and good afternoon, everyone. During today's call, we will discuss our first quarter 2020 results and operating performance, followed by a question-and-answer period. With me this afternoon are Barry Cottle and Michael Quartieri. Our call today will contain statements that include forward-looking statements under the Private Securities Litigation Reform Act of 1995. These statements involve certain risks and uncertainties that could cause actual results to differ materially from those discussed during the call. For information regarding these risks and uncertainties, please refer to our earnings release issued earlier this afternoon, the materials relating to this call posted on our website and our filings with the SEC.We also will discuss certain non-GAAP financial measures. A description of each non-GAAP measure and a reconciliation of each non-GAAP measure to the most directly comparable GAAP measure can be found in our earnings press release as well as in the Investors section on our website. As a reminder, this conference call is being recorded. A replay of this webcast and accompanying materials will be archived in the Investors section of our website at scientificgames.com. Also, supplemental reference slides are available on our Investor Relations website. While management will not be speaking directly to the slides, these slides are meant to facilitate your review of the company's results and to be used as a reference document following the call.Now let me turn the call over to Barry. Barry?
Barry Cottle: Thanks, Trent. Good afternoon, everyone, and thanks for joining us. We are operating in truly extraordinary time, times of significant challenges, but also times in which we see many opportunities ahead. First and foremost, on behalf of our entire company, I'd like to share deepest sympathies with all of those who have been affected by this global pandemic. We also genuinely thank those who have been working to keep us all safe during the crisis, particularly those on the front lines in the health care community. I also want to thank and recognize my colleagues. I've never been prouder to lead a team where everyone is stepping up to help each other, our partners and our company. Through it all, we remain grounded on our purpose to create great gains that our partners and players love. Today, we will share, first, that we are in a very solid financial position. Second, the actions that we're taking to ensure that we meet the demands of this outbreak and best position ourselves as the market recovers. And finally, how we're looking ahead across our diverse business to leverage key strength and to drive strong results in the very near future.We came into this year with a very strong liquidity position, and we refinanced significant portions of our debt late last year to extend maturities and lower our interest expense. In fact, at quarter end, our availability liquidity was nearly $1 billion. As you know, we're taking substantial proactive measures across our global business to manage expenses and capital expenditures. We're working around the clock to take care of our employees, customers, shareholders and other key stakeholders in these difficult times while providing uninterrupted products and services to those customers who continue to operate. We recognize that some of the decisions made necessary by the impact of the COVID-19 on our company creates substantial hardship for our employees and their families. Therefore, we've established a hardship relief fund to provide assistance to those employees and their immediate family. We are confident we can weather the storm for as long as necessary, and I'm confident that the measures we're taking now will allow us to take advantage of the opportunities to strengthen our business and prepare us to come out of the crisis even stronger than before. We have a diverse portfolio of assets, products and services that uniquely position us to handle this crisis.Now let me turn the call over to Q to provide an overview of the general trends in our business units, strategic actions we've taken to mitigate the impact of the prices and our liquidity position. I'll then come back to discuss how we're looking ahead to drive results in the very near future. Q?
Michael Quartieri: Thanks, Barry, and good afternoon, everyone. Rather than going through my typical in-depth review of the quarterly results, I thought it'd be more beneficial to just provide a high-level overview of the Q1 results and focus more of our prepared remarks on the current trends in our business segment, the proactive steps we've taken to control costs and provide an update on our liquidity. For the first quarter, the key takeaways include: we were having a strong quarter in the first 2 months until gaming, in particular, was negatively impacted by the COVID-19 pandemic. The sudden drop in revenue as a result of the pandemic drove our AEBITDA decline as our cost savings initiatives did not take effect until late in the quarter. We generated nearly $60 million of free cash flow. And even as the crisis spread, our business outside of gaming held up almost as usual for the most part. The diversity of our business has always been and will continue to be our strength, and that is even more evident during this period. In gaming, the business has clearly been impacted by nearly 100% of the casinos being closed globally. We are still generating some revenue in this environment around items such as services revenue in our systems business, unit shipments for opening and expansions and international awards. Several casinos are now open, and we are seeing additional casinos begin to outline plans to reopen.And while visibility into the initial demand environment is limited, we expect to see social distancing measures implemented when casinos do reopen. This will lead to certain machines being covered or powered down, reduced positions at tables and enhanced sanitation policy. We believe these measures are appropriate and should provide positive reinsurance to customers as they return to the casinos.Lastly, I note our business is significantly diversified across geographies and between tribal, commercial and regional operators. In fact, approximately 95% of our business occurs in regional and tribal casinos, who we expect will have a faster recovery overall. The lottery business remains resilient. Our first quarter revenue results were down $15 million from the prior year, with $9 million related to higher domestic system product sales in the prior year. AEBITDA was down $26 million as a result of international market disruptions from COVID-19, which negatively impacted our Italy joint venture AEBITDA, the previously mentioned higher-margin domestic system product sales last year and contract repricing. During this crisis, the primary points of sale for instant ticket purchases such as gas stations, convenience stores and grocery stores have remained open, allowing us to continue to generate revenue. Overall, domestic lottery sales in this environment are modestly down around 10% to 15% on a year-over-year basis. But we are now seeing several regions return to positive results in recent weeks.Internationally, we did see a significant negative impact in certain European markets as a result of lockdown. However, markets such as Italy are beginning to recover, and we are seeing demand increase meaningfully. Also, we continue to expect to ship over 30,000 terminals into Italy in total over the next several quarters, approximately 10,000 into Turkey this year and to launch the Brazilian instant ticket lottery with our JV partner early in the fourth quarter. In digital, the iGaming component of the business is outperforming globally in this environment given the stay-at-home dynamic. For reference in New Jersey, where nearly half of the wagers are processed through our platform. Online revenue was up 65% in March, although sports betting around the world has been essentially shut down, our team has continued with new system implementation and is winning new business across both sports and IG.Our SciPlay segment generated $118 million in revenue, a 125% increase in net income to $31 million and nearly a 40% increase in AEBITDA to $35 million. We increased player conversion to a record of 6.3%. Average monthly revenue per payer increased 9% to $83.58, and our mobile penetration percentage increased to 85%. I as expected, we saw a slower start to the quarter based on the time line of our game enhancement, but did see improvements in our games as we moved through the quarter and then significant increases starting in late March and continuing through today, resulting from the stay-at-home order. To give you perspective, SciPlay generated record monthly revenue in April, up over 20% compared to March. That's a brief overview of our business segment. You can review our detailed financial results for Q1 in our press release and Form 10-Q.Now I'll move on to all the strategic actions we've taken to mitigate the impact to our top line. Having prior experience in navigating through the 2008-2009 economic crisis, it was imperative for us to take immediate and decisive actions to eliminate costs and preserve our liquidity, so we may emerge from this a stronger and better positioned company for future success. We implemented several austerity measures around the globe. Workforce related cost-saving measures include temporary reduced schedules for many team members, pay reductions for salaried personnel, furloughs and reductions in workforce. We also eliminated all nonessential expenses and are negotiating with our vendors to reduce both pricing and timing of expenditures. We reduced our projected CapEx spend for Q2 by $50 million. The combination of these actions is expected to reduce our quarterly cash outflows in Q2 by over $150 million, with the ability to do more, if necessary.Our current expectation is that we will use approximately $70 million to $90 million of cash in Q2, and we anticipate that the second quarter will be our lowest revenue quarter for the year. In addition, as you expect in this environment, our cost of sales has flexed down with reduction in sales as we look ahead to the recovery in gaming and our business more broadly, we will be incredibly disciplined as it relates to adding costs back to the business. Many of the actions we have taken will result in permanent cost reduction and will allow us to be a more efficient enterprise and deliver enhanced profitability and free cash flow moving forward as we emerge from this crisis. In regards to Capex, we have deferred all noncritical CapEx, but continue to invest in ongoing operations across lottery and digital. For 2020, we now expect capital expenditures to be in the range of $210 million to $240 million, which is $90 million lower at the midpoint than our prior range. That said, the single largest component of our CapEx is related to game operation placement and this spend is variable. Our current assumption contemplates while operators will be measured with new game purchases and the replacement cycle will be a bit elongated, they will still want new content and cabinets on their casino floor. Thus, we may have the opportunity to expand our Game Ops footprint. If this does not transpire, we would expect our CapEx to be reduced further.At quarter end, we had $334 million in cash and cash equivalents and $967 million in total liquidity, which includes SciPlay. Our only upcoming debt maturity is the $341 million of senior sub-note in May of 2021. Our recent refinancing activities have pushed out the rest of our maturities into 2024 and beyond. Also, we amended our credit agreement to obtain relief on the first lien leverage ratio covenant through and including Q1 of 2021. We will be required to maintain a minimum liquidity level, excluding SciPlay play of at least $275 million through Q1 of 2021 and potentially stepping down to $200 million throughout the remainder of the relief period. The amendment includes additional limitations on restricted payments, debt and lien incurrences and investments during the covenant relief period. To wrap it all up, we believe the actions taken to reduce expenses and lower CapEx, the diversity of our business model and our nearly $1 billion of liquidity enable us to weather the current crisis and emerge even stronger and more efficient when the economy recovers.Finally, we really want to thank all of our team members. This has been a challenging time on many fronts, and everyone has been working tirelessly to get us through this. And for that, we will forever be grateful. Before Q&A, I want to turn the call back over to Barry to provide some more detail on some of the recent successes we've had throughout the company and how we are positioning ourselves to strengthen our business and take advantage of strategic opportunities. Barry?
Barry Cottle: Thanks, Kew. In times when crisis hit, it can be easy to lose sight of the long term, but we will continue to build an even better, stronger and more efficient business for the future, and we remain committed to providing market-leading products and services to our customers across gaming, lottery and sports betting, both in retail and digital. Our teams are clear on what needs to be done, win today and in the future by delivering the best-in-class products, focusing our strategies and accelerating our actions toward a more focused and effective scientific games. In gaming, under the new leadership of Matt Wilson, we are hyper-focused on our product development activities in core segments to deliver the games, hardware systems and solutions our customers need the most.This is particularly true in the Game Ops space, which we believe will be the most relevant as operators recover from the current environment. Moreover, we're using this crisis to further accelerate our progress towards a more effective and efficient gaming business. In addition, we recently announced the appointment of Rich Schneider as our Chief Product Officer, who will join us from Aristocrat where he held the same position. Rich is universally regarded in the industry as a best-in-class leader of R&D, known for developing an engaging culture where great product development and great gaming talent can excel. Rich will be responsible for product strategy, defining the R&D roadmaps and will help further Scientific Games position as a product and technology leader in gaming, which is the latest addition to our efforts to build the greatest team in the industry.As we look ahead, we remain committed to developing technology innovation to support our customers' evolving business operations such as unified wallet and cashless gaming, a wide range of product solutions enable us to meet the specific needs of our customers, solutions such as electronic table games will become even more relevant and desirable as we emerge from this current crisis. While we cannot predict exactly how long this crisis will last, we know that people have been wagering for thousands of years and COVID-19 will not be the end of this reality. Casinos will reopen, demand will return and we will exit this crisis leaner, well positioned and ready to win. In our Lottery group, we're operating during this crisis, and we continue to deliver great service and demonstrate an exceptional win rate on contract rebids.As evidenced by our recent renewals in Iowa, Connecticut, South Carolina, Missouri and D.C. Following our elevation to primary supplier in Connecticut, Scientific Games is now the primary supplier to all 10 of the top-performing instant game lotteries in the world. And as Q noted, we're already beginning to see significant recovery in the instant ticket sales across the United States. Within iLottery, we're continuing to deliver outstanding results with the Pennsylvania Lottery. As you know, our iLottery launch in Pennsylvania is the most commercially successful iLottery launch in North America today, with total sales on track to hit $1 billion milestone by the 2-year anniversary in May. Pennsylvania iLottery sales were already experiencing strong growth prior to the COVID-19 prices, but we've seen a significant acceleration in the last several weeks. We expect to see iLottery adoption accelerate across state, and we're incredibly well positioned to benefit from these rapidly increased adoption level.We expect iGaming adoption and revenue growth to accelerate as a result of the work-from-home environment. And as the market leader, we will benefit greatly from this trend. We saw an increase of 1 billion wagers based on our OGS platform year-over-year, with $9.9 billion wagers this quarter. We recently partnered with Caesars, Rush Street and Penn National to bring our outstanding player-favorite content to Pennsylvania. Our 88 Fortunes game is the most popular game across New Jersey, and we expect to see great results in Pennsylvania as well. We've also signed with FireKeepers and an additional provider in Michigan, where we expect to be a market leader in content for all operators regardless of platform. And the state of Michigan is working to launch their digital markets earlier than expected. In addition, we're in discussions with many other potential customers for launches in all legalized U.S. states.And finally, we are seeing incredible recent growth across Canada. We continue to be the market leader in North America with 40% market share today in New Jersey with 4 states live and 13 states expected to launch in the next few years, the iGaming market is forecast to deliver a compound annual growth rate of 66%, reaching nearly $7 billion in 2024 versus approximately $500 million in 2019. With our leading platform, OGS and slot table content, no one is better positioned to take advantage of these expanding market opportunities where we can leverage our position to be the preeminent player in future iGaming expansion.In sports, we are seeing significant momentum as we win new deals to position ourselves as the market leader when sporting events inevitably resume. We are delivering impressive new sports contract wins such as FanDuel, Golden Nugget and Betfred. These deals are expected to go live this third quarter. In fact, FanDuel alone represents nearly 50% of the New Jersey sports betting market since launch, and we have more blockbuster deals yet to be announced. The U.S. sports betting market is forecast to deliver a compound annual growth rate of 51%, with GGR reaching nearly $8 billion in 2024 versus just under $1 billion in 2019. A our sports betting platform's reliability and scalability and our previous investments in digital capability positions us and our customers to win and lead in the emerging sports segment. In fact, we continue to expand this platform as we roll out our open markets product, which serves as a sports aggregation platform. This is particularly compelling for customers today as it is allowing access to virtual sports and e-sports, which provides them an opportunity to generate revenue, while the majority of major sports are shut down. Response has been great, and we look forward to continuing to develop this opportunity and innovate for the future.And lastly, with SciPlay, and as Q mentioned, the business is performing incredibly well in this environment. The team has been focused on delivering significant and compelling enhancements across our portfolio to drive player engagement and monetization. As a result, we saw sequential improvement during the first quarter with revenue increasing each month; and March, delivering the strongest result. With the momentum from March continuing into the second quarter, we are very confident we have the strength and momentum in all of our games that will enable us to outpace the industry growth in 2020. We believe we are in the early stages of a multiyear revenue growth and earnings expansion cycle in SciPlay, and we couldn't be more excited about our future prospects and opportunities.In closing, we're in a very solid financial position. We're taking action now, both to ensure that we win in today's environment and best position ourselves for the future, and we're looking ahead across our diverse business to leverage key strengths and drive strong results. We are confident we can weather the storm for as long as necessary, and I'm confident that the measures we're taking now will allow us to take advantage of the opportunities to strengthen our business, creating more focused and efficient Scientific Games and prepare us to come out of the crisis even stronger than before.With that, we're happy to take your questions. Operator, could you please open the line for questions?
Operator: [Operator Instructions]. Our first question is from Barry Jonas from SunTrust.
Barry Jonas: Maybe just to start. How are you guys thinking about cash burn after Q2? And then how do you think the different segments could perform for the remainder of the year?
Barry Cottle: Thanks, Barry. Look, we're in a very strong financial position. Our business is very well diversified with lottery, digital and social, all going strong. And as a result of that, we continue to generate significant revenue and profit even in this environment. And expect only a $70 million to $90 million net cash outflow in Q2, which is less than $1 million per day. Given the current discussions right now going on as regards to reopening, we actually expect Q2 to be the trough of this, then improving from there. Obviously, there's a lot of uncertainty due to COVID, but with our diverse portfolio and the cost actions taken, we feel very confident in our ability to weather the storm as long as it takes. And our Q2 expectation is evident of that.
Operator: Our next question is from John DeCree from Union Gaming.
John DeCree: Barry, I wanted to ask about something you may have mentioned in your prepared remarks when you were discussing the digital business and some of the landmark deals or partners that you've signed up. I think you've alluded to maybe some more in the pipeline. I was wondering if you could elaborate on that how the pipeline looks? And I'm guessing it's probably not much specifically you could say, but qualitatively, what that pipeline looks like for your sports betting business over the next 12 months?
Barry Cottle: Yes, absolutely. Look, as we mentioned before, we've got the best, most reliable system in the market today. And as we mentioned, we strongly believe we're going to win in the long run. And that's actually, as we've mentioned before, what is coming to fruition: FanDuel, Golden Nugget, Betfred, and we have several others that are in that pipeline that we can't announce at this point in time. Some of these are our recent wins, represent takeaways from competitors, which reinforces the position that we feel very strongly about what we have. And so we feel an incredibly strong position there. We have -- the digital space is particularly interesting because there's strong deal momentum for us. There's also regulatory momentum. There's also a digital adoption momentum. And then our product portfolio just keeps getting stronger. So we're very, very pleased with where we're at, both on a digital and sports space.
John DeCree: Barry, a follow-up to the digital business, you've kind of started to talk about it. There's a lot of momentum across the industry and we've seen the market ascribe pretty attractive valuations to some of your peers recently. Curious how you think about that business? And if you'd consider doing anything like you did with SciPlay in an effort to kind of highlight or capitalize some of that value of the digital business that the market seems really interested in right now.
Barry Cottle: No, I appreciate that. Thanks. Yes. I mean, again, as you mentioned, in New Jersey, we have 40% market share that cuts across our platform, our OGS and our content and with the growth in the regulatory environment, we need to get some really good momentum. I think we have a very strong asset there. We're very obviously excited about the long-term growth and we -- and so it's very crucial and strategic to Scientific Games itself. So -- and the combined assets and ability to leverage and create a converged player experience is important to us, so no plans at this time.
Operator: Our next question is from Chad Beynon from Macquarie.
Chad Beynon: I wanted to revisit your cash burn number. Just -- I'm not sure if I missed this, but just so we have it right. Does that assume -- or what does that assume from a casino opening standpoint since, obviously, we're starting to see some properties open up. Does that assume that properties are closed? Or a June 1 opening? Just trying to get some color on kind of how that looks.
Michael Quartieri: Yes, Chad, it's Q here. It's a balanced approach. So the one thing that's very important to understand about the cash burn is that we still have 3 operating segments that are doing very well right now, still, lottery, resiliency of that. Barry touched on how well digital do and at least from an iGaming perspective, while sports is almost nonexistent, but we're still getting revenue on the time and material side of that business. And then, of course, SciPlay is doing excellent at this point.So it is a net position, so there are cash flows that are coming into the business. When we look at gaming, we're very measured, knowing that, okay, for April, it's pretty much nonexistent. There is some properties that are starting to open here in May, so we're very conscientious about what the revenue that we're going to be able to generate is, but it's also about monitoring the cash receipts that are coming through. So understanding that we're in a business partnership relationship with our operators, so we have receivables outstanding from them. They're going to take some time to pay those receivables to us, so it is a very conservative view that we have on the timing of those cash collections, the schedule of openings, which, for the most part, in our analysis, we felt that would be sometime -- with the time we were looking at it around the Memorial Day weekend is when we thought most properties would start to come back online, if not into early June. And so we've taken that hard look at it, and this is where we've come about.
Chad Beynon: And then on lottery, certainly seems like a business segment that should hold up well. I think the results are harder to examine just because while you guys may have remained open from a POS standpoint, customers were compliant with shelter-in-place. So they weren't able to visit your properties. Do you have any evidence or any takeaways from places where that has kind of eased and if the lottery demand is as strong as kind of what we saw before the shelter-in-place?
Barry Cottle: Yes. Look, lottery is resilient, as resilient can be. We all look at each other and think 4%, 5% growth in lottery, boy, it would be nice that we'd be able to get that to grow in the good times better. But it also -- when you think back to the -- over the 20-year history that we have back looking at lottery, the only time that's ever had a decline was in the middle of the '08-'09 credit crisis and it declined only 0.5%. So it is a good steady piece of business for us. When you look at the results, all the distribution channels for instant ticket and for the most part, draw-based ticket are convenience stores, gas stations and grocery stores. Those are all deemed essential, and were all open the whole time, it's just the foot traffic that was down.Now that you've seen a real recovery in the stay-at-home procedures starting to be lifted, starting to be relaxed more, more people getting out, we've seen actual increases in revenues. In fact, if you look at some of the retail data for last week, a good portion of the state that reopened early have actual year-over-year increases last week in retail sales. And even going back and looking at, say, Italy, which is the hardest hit area from a lottery perspective, revenues, instant ticket revenues, if you'd ask me 4, 5 weeks ago went down roughly 80-plus percent. Today, they're down roughly 40%. So it's a sizable recovery what we've experienced in a couple of weeks period, so it just goes to speak to the resiliency of lottery. And if the traffic is there, we'll be able to get back to our more normalized levels and recover and get to a normalized growth rate going forward relatively soon.
Operator: [Operator Instructions]. Our next question is from John DeCree from Union Gaming.
John DeCree: I wanted to, I guess, follow up on liquidity measures. It sounds like you've guys bolstered the balance sheet, but should you need additional sources of liquidity, what are some of the levers that you would think about pulling or that would be at your disposal either on additional cost reductions or getting some capital if we got to that point?
Michael Quartieri: Yes. Given where we entered the quarter with nearly $1 billion of available liquidity, which includes SciPlay, plus the actions that we've taken for the quarter alone saving over $150 million in cash. Given the liquidity, the recent draw on the revolver and the credit agreement amendment, we don't believe that we're going to need additional liquidity at this point in time. We feel like we've got a sufficient level to be able to weather the storm and be able to move through not only this crisis, but also be able to exit out of it in a much stronger position than some of our competitors.
Operator: Our next question is from Brad Boyer from Stifel.
Brad Boyer: Barry, I just wanted to ask you a high-level strategy question. Clearly, you guys have a very diversified gaming business, but at the end of the day, your resources within the business are somewhat finite. I guess as you think through the new normal that's going to come on the other side of this crisis, how do you plan to best position your business and those finite resources within the gaming business to succeed in that new normal world?
Barry Cottle: Yes. So great question. Look, I think the main focus that we have right now as an organization is we're looking at how we can streamline and create an efficient organization that cuts across the business unit, so that we can invest in great product and solution and then ultimately provide a converged experience to people. So investing in building and delivering great games, great -- system solutions, so being the #1 platform and content provider across the 3 verticals of sports, lottery and gaming. And then ultimately providing that one-stop-shop, both for the payers and customers. And so fitting our cost structure so that we can invest in the products and services that will continue to differentiate us.
Operator: Our next question is from Ryan Sigdahl from Craig-Hallum.
Ryan Sigdahl: Two for me. First one, appreciate the cash flow analysis for Q2, what's your confidence level in maintaining or inflecting back to positive free cash flow in the back half of the year, including debt service payment?
Michael Quartieri: Yes. Look, when we look at the cash flow, understanding that Q2 will be our lowest revenue period, to be able to get to a point that on a consolidated basis, we're having an expected cash outflow of $70 million to $90 million is based on, like I said, it's a net number. So you've got a certain recovery of revenue from the gaming side that we would expect to see in Q3 and then further enhanced in Q4. You still have a strong lottery business as resilient as it is, we expect that to grow in the back half of the year. And you still have SciPlay doing an excellent job right now benefiting from the stay-at-home orders that are out there. But yet, they still had made substantial improvements in their games leading up to that, which has allowed them to capitalize even further on the upside here. That we actually believe we will be able to get very close to cash flow positive by the time we get to the end of the year.
Barry Cottle: Obviously, we don't give guidance at that point in time, but I think given where everything is going directionally, plus the collection of receivables from some of our customers that we have today in gaming that are holding some of those same facts, we believe we're going to be able to get very close to that.
Ryan Sigdahl: Great. Then just on the digital, just to follow up on some of the other questions. You mentioned a lot of new business in the pipeline. Are you able to qualitatively talk about is that conquest wins from competitors? Is it new expansions with your existing customers into new states? Is it new operators altogether? Just any way to kind of break that out?
Barry Cottle: Yes. I mean, basically, look, as mentioned before, there's really four things driving it at the hardest deal momentum. We've announced very big deals recently. FanDuel representing 50% of the existing New Jersey market. Obviously, with other big deals on the way, the deal momentum plays a lot into lots of, as I mentioned before, the regulatory momentum with the caterers of the market itself. But again, we mentioned before, in both iGaming and sports, the entire market is going -- is driving -- our own product portfolio continues to increase with open market, et cetera. And so taking a greater piece of the value -- offering value chain for the commensurate revenue that would come in from that. And then lastly, which is actually being driven or increased with the COVID is just the familiarity with digital adoption that's starting to happen now. I think all of those play into the growth that we're seeing now in digital and believe will continue to grow over the next few years.
Operator: At this time, there is no more question. This concludes our question-and-answer session. I would now like to turn the conference back over to Barry Cottle for closing remarks.
Barry Cottle: Thanks, everyone, for joining us today. We appreciate your support. The entire organization's laser-focused on executing our strategy that will enable us to accelerate our progress and extend our industry-best positioning. We're in a very solid financial position with nearly $1 billion in liquidity. We've taken immediate action to ensure that we meet the demands of this outbreak and best position ourselves as the market recovers. So I'm confident that the measures we're taking now will allow us to take advantage of opportunities to strengthen our business and create a more focused and efficient Scientific Games. Thank you very much.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.